Operator: Good afternoon, and welcome to the Novavax First Quarter 2022 Financial Results and Operational Highlights Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Silvia Taylor, Senior Vice President of Global Corporate Affairs and Investor Relations. Please go ahead.
Silvia Taylor: Good afternoon, and thank you all for joining us today to discuss our first quarter 2022 operational highlights and financial results. A press release announcing our results is currently available on our website at novavax.com, and an audio archive of this conference call will be available on our website later today. Before we begin with prepared remarks, I need to remind you that we will be making forward-looking statements during this teleconference, which are based on our current expectations and beliefs. For example, statements related to 2022 financial guidance, future financial or business performance, conditions or strategy including expectations regarding revenues, product demand, operating expenses, gross margins, cash usage, clinical development of our vaccine candidates, timing of future regulatory filings, authorizations and actions and other anticipated milestones are forward-looking statements. Novavax cautions that these forward-looking statements are subject to numerous assumptions, risks and uncertainties and change over time, and actual results could differ materially from what is described in such statements. Please turn to Slide 3. During this call, we will be referring to a non-GAAP financial measure, which is not prepared in accordance with U.S. generally accepted accounting principles. The most directly comparable financial measure calculated in accordance with GAAP and a reconciliation of GAAP to the non-GAAP measure is contained in the presentation and is available on our website at ir.noavax.com. Please turn to Slide 4. Joining me today is Stan Erck, President and CEO, who will provide an overview of recent achievements and our upcoming strategic priorities. Additionally, John Trizzino, Chief Commercial Officer and Chief Business Officer, will provide an update on the status of our global COVID-19 vaccine rollout and our current regulatory progress. Dr. Filip Dubovsky, Chief Medical Officer, will discuss our clinical and regulatory strategy across our pipeline, and Jim Kelly, Chief Financial Officer and Treasurer, will provide an overview of our financial results. Dr. Greg Glenn, President of Research and Development, will also be available for the Q&A section at the end of today's call. I'd now like to hand the call over to Stan. Please turn to Slide 5.
Stan Erck: Thank you, Sylvia, and thanks, everyone, for joining us today to discuss Novavax's first quarter results. We had a landmark start to 2022, reporting today a major milestone for Novavax, our first ever profitable quarter as a commercial stage company, recording $203 million in net income and $704 million in total revenue. Accomplishments are the result of continued execution on our strategic objectives to deliver our COVID vaccine globally and advance our pipeline of new strains and combination vaccines. Proud of our strong progress throughout the first quarter, since the start of the year, we've increased our global impact, strengthened our capabilities as a commercial stage vaccine leader. I'd like to begin today's call by highlighting the key accomplishments since the start of the year that demonstrate the substantial progress we've made. Continued the successful launch of Nuvaxovid globally with vaccinations underway in key markets around the world. Cleared additional authorizations and total approvals for primary vaccination in adults further solidified our global research - total reach. In the U.S., we reached a major milestone in our pathway to EUA with a VRBPAC meeting now set for June 7 following the successful completion of an inspection of our manufacturing site at Serum Institute of India. Our expectation with the VRBPAC meeting is authorization for primary vaccination in adults. We have already submitted our adolescent data, and we will be submitting additional data for boosting to the FDA. For additional indications, the timing of review will be a decision the FDA will have to make in the coming weeks. We’re ready to execute an efficacious strategy to pursue an expanded label for our COVID-19 vaccine, including indications for pediatrics and boosting. We recognized variants continue to emerge, and we remain ready to pivot and bring the relevant vaccines to market. We are advancing an Omicron monovalent and bivalent option and expected to be in the clinic later this month. We also advanced our COVID-19 influenza combination vaccine through a Phase I/II trial with the goal to advance this candidate into a Phase II trial before the end of the year. Strong execution of our commercial launch plan and clear line of sight into our opportunities, we are well positioned to achieve our guidance of full year 2022 total revenue between $4 billion and $5 billion. With that, John Trizzino will now discuss the commercial launch of Nuvaxovid.
John Trizzino: Thank you, Stan. Please turn to Slide 6. Today, I'd like to provide an update on our COVID-19 vaccine rollout. Then I'll touch on our ongoing efforts to ensure optimal supply and distribution of our vaccine, as well as our regulatory progress. Following the successful initial delivery of our vaccine to Indonesia in the fourth quarter, we've continued the global rollout of Nuvaxovid, our COVID-19 vaccine and Covovax, the trade name for our COVID-19 vaccine manufactured and marketed by Serum Institute to additional key markets. Through the first quarter, over 42 million doses have been delivered globally, including to the European Union, Canada, South Korea, Australia, New Zealand and Indonesia. And as Stan mentioned, vaccinations with Nuvaxovid and Covovax are underway in all of these markets. We continue to receive positive feedback from our customers in market as doses of our vaccine are delivered. While we are pleased with the initial utilization of our vaccine, we expect to see additional pull-through within these markets in the coming months as demand continues with recent surges of COVID around the world. As we look ahead to the second quarter, we expect our shipments to key markets to increase. This includes the European Union, where we are fulfilling on a previously disclosed $42 million dose order. And as a result, we expect increased product revenue for Q2. We are collaborating with all of our partners on allocation and delivery schedules and stand ready to ship our vaccine to where it is needed most, ensuring that we reach our shared goal of global equitable access. With emergency use listing granted by the WHO, our vaccine is now available in upwards of 170 countries worldwide, and we have sufficient manufacturing capacity to meet all demand. We believe that our protein-based vaccines storage attributes, efficacy and safety, make it ideal for most settings, including those where standard cold chain is preferred. In addition, we continue to see low vaccination rates across low-income countries. And although we are prepared to deliver the quantities of 2373 doses to Gavi under the terms of our supply agreement, to date, we have not yet received an order from Gavi and the timing and quantities of future orders to deliver 2373 to the Covovax facility are unclear. In the U.S., where we anticipate getting emergency use authorization in early June, we are engaged in ongoing dialogue with the government for how we will support demand if we are authorized. We continue to receive input from healthcare providers, health care organizations and consumers across the country who are awaiting new vaccine choices. And if authorized, ours would be the first protein-based vaccine authorized in the U.S. With this recent progress, we remain encouraged by the long-term prospects for our vaccine domestically, and we remain on track to pursue full approval by filing for BLA in the second half of 2022, setting the stage for commercialization in 2023. This anticipated timing will be further informed by a pre-BLA meeting with the FDA, where we would expect to gain additional insight into BLA requirements and timing. To ensure we are prepared to meet current and future global demand, we remain focused on optimizing our manufacturing activities. To that end, we have begun delivering against our commitment to add additional manufacturing sites into our network in addition to Serum Institute of India. At the end of April, we submitted manufacturing data from our partner, SK Bioscience to the European Medicines Agency as a supplement to our conditional marketing authorization. And later this quarter, we expect to file a variation to add our Czech Republic site, Novavax CZ as well. With significant progress made in our commercial launch, we believe we are well positioned to continue this execution through the remainder of 2022 and beyond. To accomplish our objectives, we've rapidly scaled our commercial team with a variety of initiatives underway to support our product launch. Some of these include the following, implementing customer engagement programs to build product awareness, building out our European operations with a new office in Switzerland that opened this month, deploying our first ever unbranded campaign to improve educational awareness around COVID-19 vaccines and building strategic partnerships with governments and policymakers around the world to promote market access. Now please turn to Slide 7. On the regulatory front, we've made tremendous progress to expand the global reach of our vaccine. Since the start of the year, we have gained additional authorizations for both Nuvaxovid and Covovax. In total, our regulatory efforts to date reflect authorizations or approvals in 41 countries, as well as emergency use listing from the WHO, which represents the potential for our vaccine to reach over 170 countries, encompassing over 6 billion lives. Now please turn to Slide 8. We have been leveraging data generated from our robust clinical development plan to expand our label around the world for boosting, additional pediatric populations and the additional populations for primary vaccinations such as the immunocompromised. I will now turn it over to Filip for more on all of this. Filip?
Filip Dubovsky: Thanks, John. Let's flip to Slide 9. I want to cover three topics today. First, I want to talk about our approach to variance. Based on our antigen and adjuvant technology, our approach may be different from other vaccines. In our Phase III studies, our vaccines worked well against all variants as speculated . Furthermore, the vaccine induced high levels of very specific immune response. Although it isn't certain that an Omicron-based vaccine will be required, we're pursuing a strain change study to gather clinical data on the utility of both an Omicron variant, as well as  Next, I'll pitch based on our pediatric data. We feel that our vaccine may have a special role in the pediatric population based on the parent's familiarity with recombinant protein vaccines and our favorable tolerability and immunogenicity profile. I'll also share some data from our partners at the Serum Institute of India on how the vaccine performs in children as young as 2 years of age. Finally, I'm going to go over some data we presented previously on the combination work and I'll leave the pathway forward for that. Okay. Let's get Slide 10, which is a transition slide and goes to Slide 11 to talk about variance. What's displayed here is the comparison of the clinical efficacy results from our two independent Phase III studies. As you can see, the vaccine performed well with an overall efficacy of 90% despite the majority of cases being caused by variance. For mat [ph] strains, efficacy was between 96% and 100%. And for variance strains, efficacy was 86% to 94% for alpha and the use of Mexico study, 93% against a basket of all variants of interest in ways of concern. We observed complete protection against severe disease, irrespective of which variance circulated. The Adolescent expansion of the U.S. Mexico study only Delta circulated and the efficacy was 82%. I should note that the study was powered for the immunologic effectiveness endpoint, so there were only a very few cases, the conference intervals overlap the point estimate of the bigger, more precise adult cohort. Okay, let's move to Slide 12, please, where I've detailed the variance of circulated and cause disease in the studies. In the U.K., Alpha was circulating and in the Adolescent expansion, Delta was [indiscernible] identified variant. In the biggest study conducted in the U.S. Mexico, we identified 7 different variants and in spite the majority of these cases being caused by this broad range of variance, our efficacy was preserved. Okay. Let's go to Slide 13, please, and talk about what we know about how the vaccine works in its Omicron. On the left-hand side, we've detailed immune responses against the matched prototype strain, as well as a broad range of variants after the initial 2-dose priming series. That 100% of participants generated an antibody response that recognized all variants, including Omicron BA.1 & BA.2. On the right-hand side, we have displayed the immune response to the variance after a single boost at 6 months. Here, you can see a very large bump in antibody response to all variants, including the more contemporaneous Omicron BA.1 & BA.2. In fact, the levels for BA.1 & BA.2 atriboost A1BA2 atteboost [ph] are higher than that's seen after 2 doses to the prototype strain on the left-hand side of the slide. And I want to remind you that those levels were associated with 96% to 100% protection in the Phase III studies. Okay. Let's move to Slide 14, please, where the functional immune responses are displayed. These are 99% neutralization responses against prototype, delta and Omicron performed by the Matt Frieman Lab in the University of Maryland. On the left-hand side, the response after two doses displayed and the right-hand side after a 6-month boost. After two doses, the neutralizing response is 3-point fold lower for Omicron compared to prototype. This is a relatively small difference. In fact, for influenza, anything less than a fourfold difference could be considered a matched response. After a third dose on the right-hand side, the immune response has increased significantly, including for Omicron. It is important because pretty much everyone has been exposed to COVID or has been vaccinated, so these boosted responses have become even more relevant. So based on our variant protection and immune data, we are far from certain that Omicron -based vaccine is required or will provide material improvement in performance. However, this question can be answered with clinical data. So let's move to Slide 15. We've previously announced we plan to conduct a string change [ph] study to allow us to advance an Omicron-based vaccine. Study will be conducted in previously primed individuals and determine if Omicron-based vaccine induces better immune responses compared to the original prototype vaccine. It will be the basis of a string change variation. We'll also take the opportunity to evaluate a bivalent format to determine if there is a benefit of that approach. City [ph] scheduled to start this month and top line data will be available in the third quarter. Now let's skip Slide 16 and move to Slide 17 to talk about our pediatric data. Slide describes our adolescent data, which was an expansion of the U.S. Mexico Phase III study. In a roll of total of 2,247 12 to 17-year olds, and we randomized them 2:1 vaccine to placebo. The participants were subsequently crossed over, and we are now finishing up boosting these children. Let me review the top line results. The licensure-enabling effectiveness endpoint was the demonstration of non-inferior immunoresponses in adolescents compared to young adults, which received and in fact, the adolescent neutralizing responses were one point – on and a half fold higher than adults. We were also able to measure clinical efficacy, including against delta and the tolerability was favorable compared to adults in the main part of the study. These data are the data that is the basis for approval in India for our vaccine and is the basis of the file we have submitted to the regulators in the EU, the U.K., Korea, Australia and New Zealand. The increased magnitude of immune response seen in adolescents is also relevant for the variance. So let's look at adolescents on Slide 18. Here we've displayed our antibody responses to variants after 2 doses in 12 to 17-year-old. Overall, they are 2 to 3 fold higher than adults after 2-dose series. We believe these data hold promise for broad efficacy in the pediatric population. Okay. Let's go to Slide 19 and talk about data in younger children collected by our partners at Serum. Studying [ph] conducted was an expansion of their Phase II/III adult study. It was a randomized, blinded placebo-controlled study and in the pediatric portion, they had 3 age groups, 12 to 17, 7 to 11 and 2 to 6 years. We've been given permission to share top line reactogenicity and antibody results with you today. The study was conducted with a full dose of vaccine in all age groups, 5 micrograms of antigen and 50 micrograms of matrix. Turn to Slide 20. This slide, we've compared the local solicited symptoms by age group, adults are in dark blue, 12 to 17-year-olds in light blue, and 7 to 11s in purple and 2 to 6 years in yellow, dose one is displayed on the top and dose 2 in the bottom. Expected more reactions were observed after dose 2 compared to dose 1. However, overall the vaccine was well tolerated at least as well if not better than in adults. The accompanying slides - to slide 21, which is the next slide, which shows the solicited systemic reactions. Once again, those 2 as more reactogenic than dose 1. Overall, the tolerability profile is favorable compared to adults. The one symptom that increases with decreasing age is fever and the youngest children about a third reported a peer after the second dose. However, the fevers were short-lived with a mediate of approximately 2 days, and the grade 3 fevers occurred in only 1% of the 2 to 6 year-olds. Overall, the vaccine is considered to be well tolerated. Now please turn to Slide 22. Here, we have displayed the IgG responses at baseline after 1 dose and after 2 doses. Adults are on the left and the youngest children are on the right. The results are from a validated assay performed in the Novavax clinical immunology labs. You can see there's a stepwise increase in immune responses as the age cohort decreases in age. So overall, we're seeing a favorable tolerability profile and a very significant increase in antibody responses in children. This sort of profile makes us believe our vaccine may have a special role in children's vaccinations. So what's next? Agreed upon a pediatric investigational plan in the EU and U.K. and our iPSP with the FDA has also been agreed to. Our protocol has been reviewed by the FDA, and we anticipate starting the study this summer. The planned study is a HD escalation study looking at 6 to 11-year-olds, than 2 to 5 year olds and finally, 6 months Okay, let's get the transition slide and go through to Slide 24, please. A couple of weeks ago, we presented data from our quadrivalent influenza COVID combination study, conducted the study because in our U.K. Phase III study, we noted hemologic interference between influenza vaccine and the induction of anti-spike antibody with a COVID vaccine. Subsequently, data has emerged for other vaccine platforms that would even - flu vaccine is given with a third boosting dose of COVID, the immune response to COVID may be reduced by up to a third. Remodulin dosage levels of influenza hemoglutinin and COVID spike antigen, we've innovated our way passes issue. Let's move to Slide 25 and briefly review the study design. Study was a design of experiment approach, where we had 14 different dosage groups where we varied the hemagglutinin between 5 and 60 micrograms, and we vary the spike between 2.5 and 22.5 micrograms, held the Matrix adjuvant level study at 50 micrograms. Compared to our standard COVID vaccine with 5 micrograms of spike and our standard quadrivalent influenza vaccine, which had 60 micrograms of each flu antigen. Since a comparator has 75 micrograms of Matrix-M because that was the formulation we used in our successful Phase III quadrivalent influenza study. Logic [ph] output as well as the other baseline characteristics were fed into a mathematical model, which predicted the opto combination antigens. Okay. The findings are on Slide 26. First of all, all the combinations who are tolerable and the retenancy [ph] profile was in line with the influenza vaccine comparator. From an emergency perspective, we confirm the immulogic interference between hemagglutinin, a spike that we saw in our Phase III study. However, we were able to overcome the interference by increasing the spike antigen in decrease [Technical Difficulty] dose for spike is between 20 and 30 micrograms, while hemagglutinin could be reduced to 24 to 40 micrograms per screen. System overall antigen dose may be reduced by up to 50% in the product. We'll be confirmed in a Phase II study that we have planned for later this year, we will select a couple of dosage levels using contemporaneous influenza strains and compare it to a licensed influence vaccine, will take the opportunity to evaluate 75 micrograms of Matrix. Subsequent plan includes demonstration of clinical efficacy for both a stand-alone influenza vaccine, as well as a combination vaccine. Okay. Let me hand it over to Jim to talk about the financials.
James Kelly: All right. Thank you, Phil. Please turn to Slide 27. This afternoon, we announced our financial results for the first quarter of 2022. I'll begin by providing an overview of our first quarter 2020 total revenue performance, net income and cash position. Then I'll discuss our quarterly results in additional detail, as well as provide an update on our full year 2022 revenue guidance. First quarter of 2022 marked an important milestone for Novavax as our initial profitable quarter as a commercial stage company. We recorded $704 million in total revenue, reflecting 57% growth compared to prior year and $203 million in net income. We ended the first quarter of 2022 with $1.6 billion in cash and had accounts receivable of over $400 million, which positions us well as we continue our global launch of Nuvaxovid. Please turn to Slide 28, where we'll provide a comprehensive overview of our first quarter financial results. For the first quarter of 2022, Novavax recorded total revenue of $704 million compared to $447 million in the first quarter of 2021. Total revenue for the period included $586 million in product sales by Novavax, $19 million of royalties and other revenue, which includes both royalties and adjuvant sales to our licensed partners and $99 million in grants from the U.S. government. $31 million of Nuvaxovid doses sold globally marked the first commercial product sales for Novavax. We recorded lower grants revenue in the first quarter of 2022 compared to the prior year, as we materially completed the activities under the CEPI agreement in 2021, we do not expect to record incremental revenue under that agreement in 2022. We continue to receive funding for our 2373 clinical programs from the U.S. government. We entered 2022 with approximately $800 million of funding outstanding under our U.S. government agreements, and expect to record at least $400 million of this amount during 2022, the remainder in 2023. Our cost to sales for the first quarter of 2022 were $15 million of product sales in the period. We discuss this in the concept of reduced cost of sales in a bit more detail on the next slide. Research and development expenses for the first quarter of 2022 were $383 million compared to $593 million for the comparable period in 2021. The decrease was primarily the result of lower clinical development activities for 2373 and capitalization of 2373 manufacturing costs during the quarter. We expect our full year R&D expenses to be lower than 2021. And as noted, a significant portion of our 2022 R&D cost will continue to be funded by the U.S. government. Additionally, we recorded selling, general and administrative expenses of $96 million in the first quarter of 2022 compared to $63 million in the first quarter of 2021. The increase quarter-over-quarter was a result of our commercial launch costs associated with Nuvaxovid. We expect SG&A costs to continue to rise as we move through 2022 as we further enhance our commercial capabilities to bring Nuvaxovid to markets around the world. Novavax continues to maintain its full tax valuation allowance as of the end of the first quarter of 2022. Majority of the $3 million tax expense recognized in the period was for income tax expenses related to foreign withholding taxes on royalties. For the first quarter of 2022, we recorded net income of $203 million compared to a net loss of $223 million in the first quarter of 2021. Finally, for our cash position, we ended the quarter - first quarter of 2022, with $1.6 billion in cash, resales of 2.2 million shares of Novavax common stock from our at-the-market offerings, we raised net proceeds of $179 million during the first quarter. Please turn to Slide 29, where I'll discuss our cost of sales in more detail. During 2021 and prior to regulatory authorizations for Nuvaxovid, certain manufacturing costs were expensed to research and development that would otherwise have been capitalized inventory. Not for the reduced cost of inventory for the period, full cost to sales for the first quarter would have been approximately $160 million or 27% of product sales based on our standard cost. We expect to utilize the majority of our reduced cost inventory during 2022. Our Nuvaxovid gross margins on sales to high-income countries are expected to be between 70% and 85% product sales. Please turn to Slide 30, where we'll provide an overview for our financial guidance for 2022. Today, we are reiterating our full year 2022 total revenue guidance of between $4 billion and $5 billion. As a reminder, total revenue reflects all sources, including sales at Nuvaxovid by Novavax, grants revenue, royalties and other revenue. John mentioned previously, we're prepared to deliver doses of our vaccine to Gavi under the terms of our supply agreement. However, we were recently notified by Gavi of their intent to seek to revise the number and timing of doses. To date, Novavax has not received an order from Gavi and the timing and quantities of future orders to deliver Novavax facility unclear. Although we're not adjusting our full year 2022 revenue guidance, we note that our current guidance assumes successful delivery and conversion up to $700 million prepayment to product revenue. In the event we deliver less, our resulting revenue expectations for the year could be affected. We look forward to sharing our progress towards realizing this total revenue guidance on future earnings calls. With that, I'd like to turn it over to Stan to discuss our upcoming strategic priorities.
Stan Erck: Thanks, Jim and the team for all the presentations. So let's go to Slide 31, close it out. Again, I'm pleased to report our many achievements since the start of the year, reflecting ongoing execution across all of our strategic priorities for 2020. Through the remainder of the year, we will build on this momentum to achieve all of our objectives across commercial, regulatory, manufacturing and our pipeline. For commercial, we plan to continue the global delivery of our vaccine in collaboration with our partners to drive additional progress toward our full year 2022 revenue targets. For regulatory, we are focused on executing our robust clinical development plan to pursue additional authorizations that expand our vaccines label and policy recommendations. For our pipeline, we will seek to advance development of our other vaccine candidates, ensuring our pipeline has the potential to address today's and tomorrow's most pressing global health needs. For our Omicron variant strained vaccine, we will conduct a clinical trial to ensure we're prepared to deliver our various specific vaccine as is either monovalent or bivalent vaccine as required in the coming months. And for our COVID-19 influenza combination vaccine, we will initiate our Phase II trial. Thanks for your attention. I will now turn it over to the operator for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Roger Song from Jefferies. Please go ahead.
Roger Song: Great. Thank you for the update and congrats for the 1Q revenues and the quality of EPS. A couple of questions from us. So the first one is for the U.S. EUA, this VRBPAC meeting schedule. So as you mentioned, you're still kind of submitting outstanding items requested by the FDA. Just curious what are those kind of additional data package you need to submit before they can have this VRBPAC and how confident you are, you will have this VRBPAC meeting on June 7? Thank you.
Filip Dubovsky: This is Filip. I'll take that. So they're not waiting for any new data from us. I mean all the data has been submitted. And just part of their view process, they just are asking questions back and forth and preparing for the VRBPAC, as you know, it's a lift for them as well as for us to prepare for such an open public session. We're very confident. You've seen our clinical data. It's very strong, and that's the focus of the VRBPAC. Now that it's been scheduled, we have a high degree of confidence that we'll have a successful outcome.
Roger Song: Got it. Okay. That's great. Thank you for the assurance. And another question is for the – the to-date administration of Novavax vaccine. We see the delivery is pretty strong. But since the real adoption is relatively lower compared to the delivery. So how do you expect the administration will match up for the delivery and sustain the delivery order as you guided?
John Trizzino: Yeah. So this is John. So yes, we're lagging just a bit, but I think what we're seeing is momentum pick up week by week where we move this product into the European Commission, as well as others through a variety of distribution locations on a country-by-country basis, and then they have the responsibility to get that product out to the health care providers for vaccination. We're two months in, and we're seeing some improvement in trajectory. Although we have a bit of work to do from an education standpoint, some of the unbranded campaigns that we're engaging in Europe, as well as pull-through mechanisms, I'm sure will allow us to catch up in that regard. Let's keep in mind, we also have new orders coming from these countries. So they are accepting additional vaccine in the second quarter in addition to what they received in Q1 and particularly in Europe with the 42 million doses going into Europe in Q2. So I think that there is a confidence in the vaccine. We're seeing improved uptake, and we'll expect to see that through Q2 and Q3.
Stan Erck: And if I can chime in. I mean we really are anticipating the label to be expanded in the near future that might provide additional opportunity.
Roger Song: Yes, that's true. Because you - so far, still most of the country you only approved for the prime, not even for the booster pediatric. Okay. Great. Maybe just one last one, if I may, is just clarifying for the upcoming Omicron-related data in 3Q, would that be just a monovalent? Or you also will report data from the bivalent in 3Q? Thank you.
Stan Erck: So we think we'll be delivering the monovalent for sure. The bivalent might lag by just a little bit or maybe not. It mostly depends on the speed of enrollment at the site. I think we're ready to move forward over the monovalent, as well as the bivalent product.
Roger Song: Excellent. Thank you. Thank you for taking all the questions.
Operator: The next question comes from Georgi Yordanov from Cowen and Company. Please go ahead. 
Georgi Yordanov: Yeah. Thank you so much for taking our questions. And congratulations on the progress in your first quarter of profitability. So maybe just a follow-up, I guess on the questions that were asked. One question that we've been getting is on the APAs, how can countries delay on setting up a delivery schedule? Is there like something in the contract that kind of like sets a timing until when country should kind of set up a schedule and actually accept the doses that are part of the contract? And do you guys have any update on those schedules, for example, with the U.K.? And then I'll give the follow-ups later.
Stan Erck: Yeah. So the way those APAs are set up, Yordanov, is that we and they have some flexibility in scheduling how those doses are shifted to the country. And so we're speaking and coordinating with them on almost a daily basis. And their demand patterns and how they want to bring product into their particular country is communicated amongst us, and then we set those delivery schedules based upon that. And some of those APAs, as we've talked about before, we'll be shipping throughout the year and then also into 2023 as well.
Georgi Yordanov: Got it. And is there any update on the U.K. shipments?
Stan Erck: We're still coordinating with the U.K. about what that delivery schedule is. We're still waiting on JCVI recommendations to come through on our product. And as we've talked about, these label expansions will help with all those efforts as well.
Georgi Yordanov: That's great. And then maybe we can also talk about your preparedness to participate in an eventual booster market this fall. So do you believe you could potentially be able to participate in that market with an Omicron containing vaccine, just given the timing of results for the upcoming studies?
Stan Erck: Well, that's our goal. Our goal is to be ready for such a campaign. Now clearly, we need to have a boosting indication, and then we need to have the Omicron strain change to be in place before we can do that. The - as you know, some of our labels, for instance, in Japan, actually carry both homologous and heterologous boosting and there are a number of countries where the policy bodies have allowed us to be used in the boosting situation, either homologously or heterologousy. And we are bringing additional data to bear in that regard. So that's what we want to do, and that's what we're working towards.
Georgi Yordanov: Great. And then finally on the COVID flu combination opportunity. Congratulations on the data. And to us, given just your technology, you could really be first to market with this product that could provide a major differentiation compared to your competitors. So maybe could you talk about how aggressively do you plan to pursue this program? And do you see it as a priority for you in the near term?
Filip Dubovsky: If I can take a crack at that and John can cover if I say something which is incomplete or incorrect. So yeah, we're pushing as hard as we can. There are a number of innovations which we haven't talked about that we're bringing into this product. And the main issue is that flu is unpredictable. And the clinical efficacy study, we want to actually demonstrate that this product is better than a licensed comparator vaccine for that we need flu to circulate. So I think that's the one uncertainty as to the timing of when that pivotal clinical efficacy study will occur.
John Trizzino: I think regarding commercial opportunity here, it's becoming clear that the key opinion leaders are looking at COVID to be looking like a flu, a seasonal - annual seasonal vaccination. And so the combination of these two and particularly on our technology platform, our recombinant protein, as well as adjuvanted technology seems to fit real well. I think most people will prefer one shot over multiple shots. And so therefore - and with the data that we have for both. So we've got solid efficacy data off of COVID, obviously. And we also have a successful Phase III on our flu vaccine that makes us a strong combination and would expect high demand for this in most high-income country markets.
Georgi Yordanov: That's great. Thank you so much and congratulations, guys.
Operator: The next question comes from George Duncan [ph] of Cantor Fitzgerald. Please go ahead.
Unidentified Analyst: h. Let's see. This is Charles. Thanks, folks, for taking the question and Stan and team, congratulations on a great quarter of progress. Let's see. I had a quick question for John. John, you mentioned in your prepared remarks that you've gotten some favorable feedback from the market regarding the response to the vaccine. And I guess I'm just kind of wondering what kind of favorable feedback you've gotten in terms of adopters thus far?
John Trizzino: So we continue to hear from our market research, as well as anecdotally that there's a high demand for a choice in the marketplace. They like the technology platform. They like the safety profile, they like the efficacy profile. And so we're seeing a commitment inquiry as to when product is available and where the availability to get the product. So far, it's a little bit early as far as follow-on to the people that have been vaccinated. But again, we're hearing that they enjoy getting the vaccine. They've seen low rates of reactogenicity. And again, so this isn't a quantifiable approach but market research and some surveying that we're doing. So we're optimistic about the data inputs that we're getting already where the vaccine has been in the...
Unidentified Analyst: Do you think that, I'll call it, prescribers are aware of and have growing understanding of the kind of relative clinical, as well as logistics profile and that may or may not give an advantage in, say, a future booster campaign?
John Trizzino: Well, so you have to keep in mind here that we're not in many markets able to promote directly. So there's - what we are trying to do is get people familiar with the various vaccines that are out of the market, get familiar that we're in the market. But we're not in the normal commercial circumstances where we could be promoting more aggressively about all of the attributes and product profile that we believe are strengths of this product. And so we're doing this through the scientific presentations. We're doing it through any opportunity that we can to make sure people are fully aware of what the characteristics of our vaccine. So we're partly limited here, but I think we're gaining momentum as we're able to get more doses out into the marketplace.
Unidentified Analyst: Okay. That really makes the doses delivered even more impressive to me. Let me ask you a quick question regarding regulatory and you're probably not going to be able to answer these questions rigorously. But I guess I'm wondering, as you prepare for the upcoming June event VRBPAC meeting, what kind of questions are you anticipating? Are there any key points of debate that you are looking forward to really being able to reconcile?
Filip Dubovsky: I guess that's to me. And I think the short answer is no. I mean we've been very open with our data. We've published all of our results, but it is very strong. It's compelling. And as the VRBPAC is really focused on clinical results, I think that's what we're going to try it out and share it with the advisers. But we're feeling pretty confident about this one. Put in your – put in the context, we've been approved in 40 other countries and some of those regulatory agencies, for instance, Japan, MHRA, EU, Health Canada, TGA, I mean those are rigorous regulatory agencies that have scrutinized our files.
Unidentified Analyst: Okay. Very good Filip, sorry to interrupt you. Last question is for Jim regarding the last kind of statement out of your presentation on Gavi. I guess I'm wondering if they were to renegotiate to zero, I guess, kind of worst-case scenario, how could that change at least qualitatively, how could that change the guidance? Just help me think through that math.
James Kelly: Charles, I think it's fair to say you've put forward the highly negative kind of negative scenario. What we're saying is that it's simply unclear right now. So before we go to perhaps something so negative, what we're simply highlighting is that we're committed to continue working with Gavi to ensure equitable access. And as we - as this becomes clearer, we'll share more.
Stan Erck: That a little bit. I think Jim is precisely right, right? We can take a disclosure issue that we have here, right, that I think it was important for us to be transparent about. But we haven't spent a whole lot of time talking about what upside potential is in multiple markets relative to either the variance strains or bivalent or upside in the U.S. market as we move forward and get introduced into the U.S. market post the VRBPAC meeting. And so I think that there's some pluses and minuses that we're doing here, and we're simply trying to be transparent with this particular disclosure.
Unidentified Analyst: Yeah. And I'm not trying to set a negative tone. I'm just trying to make a very simple - overly simplistic mathematical calculation regarding Gavi, but I guess when you renegotiated could go the other direction as well. Okay, thanks for taking my questions.
Operator: The next question comes from Eric Joseph of JPMorgan. Please go ahead.
Eric Joseph: Hi, good evening. Thanks for taking the questions. Just a couple on the Nuvaxovid commercial. Stan made a comment about the expectation of sales increasing over the course of the second quarter. Was that relative to Q1? I'm just trying to get a sense of where you see demand going relative to Q1? And from - in Q1, we also - we came back into a dose of about $19 a dose. I guess, should we anticipate that price point in our assumptions going forward, any fluctuation in mix, I guess, right, that might impact ASPs in subsequent quarters as it relates to Nuvaxovid?
Stan Erck: Yeah, Eric, it's Stan. So yes, we expect an increase in Q2 over Q1. And we announced that we have a $42 million dose orders in Europe compared to, I think, $27 million in the first quarter. And so that in itself is an increase at the same pricing that we are doing in the first quarter. So we expect a fairly substantial increase in the second quarter revenue.
Eric Joseph: Okay. Okay. Great. And just thinking through some of the scenarios that might take place with the VRBPAC meeting. Is the focus here solely going to be on primary vaccination indication in delta. I'm wondering if there's kind of a potential upside case where the agency might be able to consider a broader application for pediatric use?
Stan Erck: Yes. So, they've announced that the - it will be primarily in adults who are 18 years of age. At the same time, they have our adolescent data in hand. And that's the identical package, which has been supplied to the other global regulatory agencies, so they have the data in hand. I think it's going to be up to them to decide specifically what questions they ask the advisory body. I think it was for boosting, they have – our boosting data that we're pulling together to submit to the other regulators. We anticipate giving them additional data as well.
Filip Dubovsky: I think it's fair to say that what gets asked officially during the VRBPAC meeting versus what we submit soon thereafter, there's not going to be a big time gap between...
Stan Erck: That's right. I mean the package that we would submit to the FDA, for instance, for adolescents is pretty much identical other than the cover letter that we've submitted to EMA, MHRA, et cetera. So whether it would be addressed there or the upcoming day , I think we're ready for both situations.
Eric Joseph: Okay. Great. And just circling back to the vaccinated sales, I guess for those who are kind of tracking them along side using third-party data sources to the extent that those are accurate. I mean can you just clarify where sort of the point of sale or sales recognition takes place? Is it at doses delivered to a central hub, is there consideration for a secondary delivery or shock administer that can factor into when sales are recorded?
Stan Erck: Yeah, that's a great question. You recognized revenue upon delivery to our customers at their warehouses. That's where they keep title.
Eric Joseph: Okay. Great. Thanks for taking all the questions, guys. Congrats on the quarter.
Operator: The next question comes from Mayank Mamtani from B. Riley Securities. Please go ahead.
Mayank Mamtani: Good afternoon. Thanks for taking our questions and congrats team on recording your first profitable quarter. So maybe just a follow-up on the prior question, Jim. This process of how revenue is recognized in EU versus shipments that are exported there. Can you just help us understand, is there like a time line lag or an average percentage that needs to get to that facility before it could get to a subsequent country and recognize as revenue? And then a follow-up question I had on the revenue guidance. The full year guidance was on - how much of that $4 billion to $5 billion, the guidance you issued today has the U.S. product sales included in there either as users primary vaccine series, in adults, adolescent or as boosters, it would be helpful to get some color on that?
James Kelly: Sure, sure. Both good questions. So the - we have not disclosed a particular cadence of shipments into our facility in the Netherlands, which is where we warehouse units prior to distribution. So we haven't communicated a specific expected cycle time from arrival there to distribution out to our customers. Beyond that, we certainly wanted to be as quick as possible to have the best shelf life available for our customers. Then with respect to your question about the U.S. government and the delivery and the doses, our future delivery of doses post-authorization are expected to be recognized under grant revenue. You might recall that under our $1.8 billion operation work speed agreement, a component of that is earmarked for doses to be delivered to the U.S. government. Now we haven't disclosed exactly what percent of the - or a specific amount of greater than $400 million that I mentioned earlier will be recognized this year. But it does capture both the U.S. government's funding of our ongoing clinical work and delivery of doses. It includes both. A reminder is this quarter, we recognized $100 million.
Mayank Mamtani: Understood. And could you just give us an update on that incremental $100 million with Europe, that optional APA, where you are with that? And what's your expectation for this year versus next year?
Stan Erck: Yeah. So we're still working off the initial orders. And again, Mayank, we're in constant communication with them, but there hasn't been a step into that expanded 100 million doses yet. But again, with the pediatric label with the booster label and improved policy support, I would reasonably expect that we'll continue to see orders coming out of Europe in '22 and of course, in '23.
Mayank Mamtani: Got it. And then just a couple of quick ones for Filip. This new data coming out of India and pediatrics, how does that inform your dosing strategy for, obviously, this 5 to 11 year old that you're starting in third quarter but also going down the age group. Anything you learned from that? And then the final question is on the - your EUA package is so sort of comprehensive on both clinical modules and CMC. What are the incremental items that will be part of the BLA package that you look to submit in second half?
Filip Dubovsky: Let me take them sequentially. So the pediatric data, we found very reassuring. The study design allows for dose adjustments increase the reactogenicity is too significant in the children. This may not be required. I mean, what we saw - what I shared with you today look very, very good to me from a tolerability perspective. And the emergency was also obviously very good. So it allows us to be reassuring both to the regulators, the IRBs, as well as the participants in participating in the study. I think additionally, it may allow us to move a little bit faster through the HD escalation process that is really up to - going to be up to the Safety Monitoring Committee as well as the regulatory agencies. So overall, I think it's good news and just derisks the entire endeavor. We're going to maintain the ability to do fractional dosing in case we do see some reactions, which are severe, especially in the youngest kids. Remember, our goal is to take it out to children 6 months of age, which is another step down than the data I shared with you today. As far as what's required for the BLA from the clinical perspective, we need to come to an agreement, and this is why we would have the pre-BLA meeting, exactly how much safety data the agency wants before we file BLA? And also in the U.S. uniquely, lot consistency study needs to be conducted prior to the BLA. And these are very short studies, but we need to make sure that the agency is in agreement with our approach for doing that.
Mayank Mamtani: Got it. Thanks for taking our questions.
Operator: The next question comes from Vernon Bernardino from H.C. Wainright. Please go ahead.
Vernon Bernardino: Hi, guys. Congratulations on the first profitable quarter. Hopefully, you're celebrating that achievement because it has been some time for some of us encouraging [ph] for a long time. And my only question really is a follow-up from Charles question regarding Gavi. Just wondering if you could share perhaps what Gavi is seeing out there and/or perhaps what you are seeing out there that could make you at least have a metric as far as decision-making on the rest of your guidance and perhaps what - where Gavi might go?
Stan Erck: Yeah. This is Stan, Vernon.
Vernon Bernardino: Hi, Stan.
Stan Erck: How are you?
Vernon Bernardino: Good.
Stan Erck: Yeah. It's an unclear marketplace right now in the low and middle income countries. There appears to be lots of inventory that's been shipped to the main vaccine introduction side of the warehouse in many of these long and middle income countries and the difficulty appears to be getting it into the use in the country. And so I think that, that's something that I don't have a lot of visibility into, but that's what's been related to us. And so therefore, the - that translates into uncertainty about the demand for our vaccine right now. And so it's, I think, characterized by uncertainty. So I don't know where it's going to go for the low and middle income countries. And we're waiting on discussions with Gavi to see what we're going to do with our current contract. It's - we disclosed that there's uncertainty that's been fairly recent, and that's what it is. So I…
Vernon Bernardino: Okay. As a follow-up, if I could. I know it's a separate disease influenza. But part of hesitation sometimes is that you know, if you don't have a severe flu season, and that includes in developing in third world countries, you have less uptake of a vaccine that could potentially protect you much less save life. What are you seeing? I know you're working on a bivalent, but what you're seeing as far as marketing research you're seeing, whether some of this hesitancy is related to the fact that we've not had severe flu seasons for many years now, obviously, before the pandemic?
Stan Erck: Let me comment on that. I think what your assessment is right. Fear is a great driver of vaccine use, right? You're preventing a disease not curing a disease. And so therefore, preparation is important. So I think the issue here, Vernon is, is what is the best preparation in any particular season for both influenza and COVID. And I think the vaccine is that right prevention. You can't predict in any given year what the circulating virus rate will be. And so I think that's why you've seen flu vaccine, especially in the U.S., be universally recommended now for many years. And there are some years that are bad and there are some years that aren’t as severe, but vaccination is important. And I think that's going to be true for COVID as well. At the moment, you have COVID muting the circulation of influenza virus, and that might not be the case. And so when will flu come back, it will likely come back with some vengeance, and we need to be prepared for that. And we think a combination influence vaccine is the right strategy.
Filip Dubovsky: Just to pile on from an EPI perspective, I mean, really flu hasn't been around now for a couple of seasons, and that means that the population is really susceptible. So when it does flip over and some minor grip there and comes into the population, I think we could see quite a severe year. I mean remember that the CDC estimated that the vaccine [indiscernible] was based on our data, we believe that we have a better flu vaccine.
Vernon Bernardino: I think so. Thanks for taking my question and follow up. And congrats again on the first profitable quarter.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Stan Erck for closing remarks.
Stan Erck: Okay. Thanks, and thanks for everyone for joining in and listening. Just to close, we're proud of the significant milestones we've reached since the start of 2022, all of which have been made possible through the dedicated efforts of our Novavax team and ongoing collaboration with many of our partners globally. Year ahead, we look forward to continue to report on additional progress. We've talked about things that are going on there will be new data coming out this year across our business as we continue the successful commercial launch of our vaccine. Thank you very much, and we'll close.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.